Unknown Executive: Good morning, and welcome to LINK Mobility's Fourth Quarter 2025 Presentation. With me today are our CEO, Thomas Berge; and our CFO, Morten Edvardsen, who will walk you through the key developments and financial performance for the quarter. Throughout the presentation, you are welcome to submit your questions online, and we will address them during the Q&A session at the end. With that, I'll hand it over to our CEO, Thomas Berge.
Thomas Berge: Thank you for the introduction, Kristian, and good morning to everyone listening in on the call. We'll start with Slide 3 with a brief overview of LINK Mobility. LINK Mobility is Europe's leading provider of digital messaging, a position we established over time through a combination of strong organic growth and a proven track record of successful acquisitions. Today, we are the #1 player in Europe with application to person or A2P messaging. In practice, this means we enable businesses to communicate directly and securely with their customers through channels such as SMS, RCS and WhatsApp. Our. Award-winning RCS solution positions LINK at the forefront of next-generation messaging, offering enterprises richer, more interactive ways to engage with their users. We serve approximately 65,000 customers on a recurring basis, sending around 23 billion messages in the last 12 months through our product portfolio. LINK employs 700 people across more than 30 offices with operations spanning 18 European markets as well as South Africa and Latin America. Since 2014, we have completed over 35 acquisitions, which have been a key driver in building scale, customer stock and tech functionality. At the center of the slide, you can see our product portfolio, a broad modular offering that allows customers to manage and automate communication across multiple channels. The MyLink suite includes tools for marketing, engagement, payment and APIs, essentially covering the full life cycle of digital customer interaction. Finally, on the right-hand side, we highlight LINK's footprint, demonstrating how the company has established strong local positions across Europe and selected international markets. This broad platform now provides a solid foundation for continued growth, both organically and through future strategic acquisitions. 2025 has been a transformative year for LINK Mobility with clear progress across profitability, cash generation and strategic execution. We strengthened the business both operationally and financially while continuing to scale the footprint. The key highlight for the year is our operating earnings growth compared to our 2024 numbers and including the full year contribution from acquisitions completed in 2025, adjusted EBITDA increased by 48% year-on-year, while leverage rose only modestly from 1.35x to 1.49x. This shows that we can deliver high growth and profitability while maintaining financial discipline and a healthy balance sheet. Looking at growth, we delivered 5% pro forma gross profit growth in 2025. That is below our target. And given the opportunities we see in the market, we believe we should be able to deliver stronger organic growth than this. A softer fourth quarter weighed down the full year results. Improving organic growth is top priority for us going forward. Still, we delivered 7% pro forma adjusted EBITDA growth in 2025, demonstrating continued scalability in the business. Last year was an active year on the M&A front. We completed 3 acquisitions, including SMSPortal, adding more than NOK 300 million in combined cash EBITDA to the group. We also introduced our first ever shareholder distribution policy, reinforcing our commitment to consistent capital return. Cash generation remains strong with our NOK 400 million in free cash flow, supported by solid cash conversion across the business. With the addition of SMSPortal, we expect cash generation to improve further, giving us meaningful flexibility to invest in core business and conversational solutions, pursue selective M&A opportunities and return capital to shareholders through dividends or buybacks, all while maintaining a healthy leverage ratio. Q4 was weaker than expected due to headwinds that we view as largely temporary rather than structural. The underlying demand, our pipeline and the continued shift toward higher-value conversational channels gives us confidence in returning to stronger growth. Reported gross profit came in at NOK 461 million, up around 6%, including M&A, but down roughly 4% organically year-over-year. On a pro forma basis, gross profit declined 2%. The software development mainly reflects a weaker performance in parts of our European footprint. We saw lower volumes in Global Messaging, some negative accounting effects and softer enterprise campaign activity in what is normally a seasonally strong quarter. South African business delivered around 5% pro forma growth, which is in within normal variance versus our high single-digit target. Adjusted EBITDA declined 8% on a pro forma basis, mainly reflecting the shortfall on gross profit. OpEx increases were somewhat higher versus previous quarters due to negative year-end accrual deviations. Reported EBITDA for the quarter was NOK 198 million, with the difference to adjusted EBITDA primarily related to nonrecurring M&A items. Operating cash flow in the quarter was solid. We generated NOK 236 million from operations, supported by a positive working capital release of NOK 87 million, bringing full year operating cash flow to NOK 700 million. Commercial activity remains healthy. We closed NOK 40 million in contract value during the quarter, in line with expectations and internal targets. We observed continued high demand from the market for conversational solutions on top of OTT channels with one contract on RCS being the second strongest quarter ever. For the full year, contract wins represent an expected gross profit of NOK 175 million, up 17% year-over-year. On the M&A side, we maintain a pipeline representing around EUR 50 million in cash EBITDA at attractive multiples. Discussions and due diligence are progressing as planned. We successfully closed and consolidated SMSPortal in December, which also delivered positive EBITDA growth in the quarter of 7%. The long-term growth drivers remain intact. We continue to see strong momentum in next-generation OTT channels. Billable RCS volumes grew 113% and WhatsApp volumes grew 177% year-over-year. Both channels are increasing their share of total messaging traffic. We view the weak performance in the current quarter as a temporary slowdown and expect to return to organic growth over the coming years or coming quarters. The Q4 impact was driven by an unexpected reduction in share of wallet from 3 customers in Global Messaging and 1 customer in Central Europe on top of the handful declining enterprise accounts we already highlighted in prior quarters. The gross profit decline was attributable to these 9 customers. As shown in the upper left chart, these clients contributed negatively to gross profit growth of NOK 27 million in the current quarter, which more than explains the total organic decline of NOK 17 million. Most of the NOK 27 million decline originates from the 4 larger customers reducing their share of wallet. These customers with aggregator-like behavior shifted away from LINK. The customers do not share detailed information behind their actions, but we assume the shortfall in volume is due to specific pricing considerations on selected destinations. We have already initiated targeted commercial actions to restore volumes to a normal level with these accounts. The rest of the customer base continues to perform, although growth was softer in Q4 due to negative impact of accruals and lower enterprise campaign activity. The residual customer stock delivered NOK 10 million in gross profit growth, including net negative year-end accruals of NOK 7 million. Excluding these one-off accounting effects, underlying growth in the quarter was NOK 17 million, which better reflects the true momentum in the business and in line with previous quarters. In the retail sector, campaign activity was somewhat lower than expected, also somewhat lower than same quarter previous year. We do not see any common factors here, only smaller discrepancies on numerous retail clients in the current quarter. Looking ahead, we expect the group to return to organic growth over the coming quarters. This is supported by 3 factors. First, comparables with isolated decliners ease as we move through the year, although Q1 will still face tougher comparisons. Second, we are executing targeted commercial initiatives to recover volumes with the impacted customers. And third, the broader customer base continues to develop positively, supported by strong contract wins in 2025, up 17% year-on-year. Overall, these factors gives us confidence that the Q4 slowdown is temporary and that we're well positioned to return to growth. For the full year, LINK achieved NOK 175 million in expected gross profit from new contracts, representing 17% growth year-over-year. This strengthens the forward visibility and provides a solid foundation for continued growth as these contracts ramp up and convert into gross profit over time. In the fourth quarter, we delivered NOK 40 million in estimated gross profit from new contract wins. This was in line with our expectations and quarterly targets. The mix towards CPaaS continues to improve, which remains a key strategic priority for us. CPaaS now represents more than 40% of total contract value for 2025, reflecting the ongoing shift toward higher value, more scalable solutions and a structurally stronger revenue mix. Within CPaaS, OTT solutions are showing particularly strong momentum. OTT now represent the majority of CPaaS contracts closed and gross profit from OTT increased 46% year-on-year to NOK 12 million in the quarter. Within OTT, we are seeing encouraging traction on RCS, where we delivered our second highest quarter ever in terms of contract wins. Overall, this highlights solid commercial momentum and improving mix towards higher-margin solutions and a good starting point for future growth. Let's turn to the 2 key structural drivers behind LINK's organic growth. Although our recent performance have been softer than expected, we view this as mentioned as temporary. The core fundamentals remain solid and the long-term growth drivers that underpin LINK's strategy are unchanged. The first driver shown on the left-hand side is the increasing adoption of A2P messages across Europe. We continue to see adoption growth, and there remains significant room for further expansion across Europe, providing a solid foundation for sustained long-term growth. The second driver illustrated on the right-hand side relates to the new and more advanced CPaaS solutions. We are observing growing traction for richer channels such as RCS and WhatsApp, which offer higher ROI for clients, more efficient customer interactions and greater engagement, particularly in sectors like banking, retail and logistics. Together, these 2 trends, higher adoption rates and ongoing shift toward advanced conversational solutions are the key enablers of LINK's organic growth strategy going forward. Moving on to the newly acquired South African entity. SMSPortal is a strong and well-established business. It's the #1 A2P messaging player in South Africa, serving more than 5,000 customers on a market-leading platform with high throughput and reliability. Over the last 12 months, the business has handled around 16 billion messages, so this is already at scale, profitable and highly recurring volumes that fit very well with the LINK model. Performance was in line with expectations, steady quarter-by-quarter improvement in gross profit and positive adjusted EBITDA development. In stable currency, gross profit grew around 5%, which is within the normal variance for a stand-alone quarter. On the commercial side, we're encouraged by the pipeline. We are implementing new contracts from new customers in the first half of the year, representing roughly 600 million messages on an annualized basis. Beyond that, the broader pipeline is substantial with an estimated 1.7 billion messages. Integration activities are progressing according to plan. Platform synergies are being evaluated. We are actively exploring cross-sell opportunities on specific customer and LINK's CPaaS solutions across the SMSPortal customer base. LINK Mobility was recognized by Juniper Research, one of the most respected analyst firms in telecom and CPaaS space. We received 2 major awards, Platinum winner for Best Customer Interaction solution, reflecting the strength of our platform to create seamless conversational customer experiences across channels. In addition, we were awarded Gold for Best RCS monetization solution. This is encouraging as RCS and next-generation messaging are key strategic priorities for us and important growth drivers going forward. These awards are not just nice recognitions, they confirm that we continue to innovate, that our product portfolio is strong and that customers trust LINK with the most business-critical communication. This kind of independent validation is confirmation that what we're building is competitive on a global level. Overall, M&A discussions and due diligence are progressing as expected, and we continue to see an attractive market for inorganic growth opportunities. During the quarter, we successfully completed the closing and integration of SMS portal. At the same time, we have a healthy and active pipeline. We currently have 9 prioritized targets in various processes and 5 companies are in due diligence. Larger opportunities naturally carry more uncertainty in terms of timing and signing. The combined scale of these prioritized opportunities is significant. Together, they represent more than EUR 50 million in cash EBITDA. Looking ahead to the next 3 to 6 months, our focus is clear. We will continue capturing synergies and operational improvements in SMSPortal while progressing the most attractive targets in our acquisition pipeline and positioning LINK for larger, more structured processes where we can leverage our scale and track record as a preferred buyer. To sum up, our inorganic growth strategy remains disciplined, but clearly opportunity driven. We operate comfortably within our leverage range of 2 to 2.5x adjusted EBITDA, supported by a proven M&A framework and a strong track record of successful integration. Our pipeline has never been stronger and with our financial flexibility, we're well positioned to act quickly when the right opportunities comes along, always with a clear focus on quality, profitability and long-term shareholder value. My last slide captures our key medium-term objectives built around 3 pillars: growth, profitability and capital allocation. Starting with growth. Our ambition is to deliver high single-digit gross profit growth over time. While we saw softer momentum in Q4, we expect a gradual normalization through 2026. Some of the headwinds we experienced at the end of the year will likely still impact the first part of the year, but the underlying drivers remains intact, supported by solid order intake and continued growth in OTT channels. Turning to profitability. We expect adjusted EBITDA growth to outpace gross profit growth, reflecting the scalability of our business model, consistent with what we have demonstrated historically. Finally, on capital allocation, accretive M&A remains our first priority, supported by a strong and actionable pipeline. At the same time, as highlighted last quarter, we expect shareholder distribution to increase over time, reflecting our expectation to be able to fund both continued M&A activity and growing returns to shareholders. At the same time, we remain committed to maintaining financial discipline, targeting a leverage range of max 2.0 to 2.5x adjusted EBITDA. LINK is committed to deliver sustained value creation, combining profitable organic growth with accretive M&A and attractive shareholder returns. With that, I will hand over to Morten for a closer look at the financials.
Morten Edvardsen: Thank you, Thomas, and good morning to everyone joining the call. I'll now walk you through the group's financial performance for the fourth quarter. Starting off with an update to segment reporting. We have made updates to our segment reporting this quarter following an internal reorganization to align customer management under the best suitable part of the LINK organization. This includes shifting enterprise customers with aggregated like behavior under the management of the Global Messaging organization to secure the best possible handling and growth on these clients. The shift also includes the Tismi business unit in Netherlands, which customer profiles aligns best with Global Messaging. In addition, the Italian business unit has been reclassified from Western to Central Europe region. To ensure comparability, all historical figures have been restated to reflect these changes. With the acquisition of the South African entity SMSPortal and consolidation from December 2025, we introduced the segment Rest of the World, capturing both the domestic and international business of the acquisition. Hence, figures for this segment aligns with previous communication regarding the acquisition. Then to the results. Reported revenue increased 7% year-on-year to nearly NOK 2 billion, while organic growth declined 5% in the quarter. As illustrated in the lower graph, the organic decline was mainly driven by a decline in the Global Messaging segment with NOK 116 million, partly offset by growth in the Enterprise segment of NOK 29 million. The organic decline was more than offset by M&A contributing with NOK 211 million in the quarter, resulting in positive reported revenue growth overall. The revenue decline on the mentioned 9 declining customers represented a revenue decline of 9% in the quarter or NOK 166 million, mainly within Global Messaging but also impacting enterprise regions as in previous quarters. Organic enterprise revenue grew 2% year-on-year, driven by Northern and Central regions, while Western Europe reported an organic 2% decline, impacted by softer-than-expected campaign activity and slight increase in churn in the quarter. Overall implementation of closed won CPaaS contracts are strengthening the overall quality of revenue and hence, structurally improving margins. The Global Messaging segment declined 24% in the quarter, and the main driver was loss of wallet with 4 large aggregated clients in an inherently volatile business. Overall, while Enterprise continues to deliver positive growth and a trend of improved revenue mix, the group's organic revenue declined driven by the weaker performance in Global Messaging. Then to the next slide, giving an overview of churn and net retention. Starting with churn, we observed a quarter-on-quarter increase in enterprise churn. This was, among other effects, related to new churn on one high-volume SMS customer with low margin. This client is, on the other hand, working with LINK on implementation of future OTT solutions. In general, OTT contracts typically come with higher value and stronger integrations, which over time supports improved stickiness and customer lifetime value. Looking at net retention, which was broadly stable quarter-on-quarter, but remains below our target level. As shown in the chart, retention has stabilized compared to recent quarters, which is encouraging. However, performance in the quarter was impacted by softer campaign activity and a more competitive environment in the aggregator segment. The previously mentioned 9 clients reduced net retention by 9 percentage points in the quarter. That effect is expected to fade out over the next quarter, supporting a gradual improvement in net retention. We remain confident in returning to our medium-term target level of approximately 105%, which supports high single-digit gross profit growth. Then to the gross profit. Reported gross profit increased 6% year-on-year, including acquisitions to NOK 461 million, while organic gross profit declined 4% in stable currency. The organic decline in gross profit was primarily driven by the Global Messaging segment, where gross profit decreased 21% or NOK 14 million, mainly due to the mentioned reduced share of wallet customers, representing NOK 18 million. The Enterprise segment declined 2% organically in the quarter or NOK 3 million. This includes a net negative year-end accounting impact of NOK 7 million, hence, underlying growth was slightly positive at 1%. The softer growth momentum compared to previous quarters was impacted by lower-than-expected campaign volumes in the quarter, while we observed a continuation of growth on CPaaS solutions and especially OTT channels, now representing more than 6% of total gross profit. Organically, gross margin improved by 0.4 percentage points, mainly driven by Global Messaging representing a lower share of total revenue compared to same quarter last year. The year-end accounting effects impacted margin negatively by approximately 0.4 percentage points and was offset by positive margin impact from higher-value OTT solutions in line with previous quarter of 0.5 percentage points. Currency and acquisition effects weighed slightly on the reported numbers, resulting in a reported gross margin of 23.3%. Hence, reported margin was slightly down. The underlying organic margin trend remains positive. Over to adjusted EBITDA and the margin development. Reported adjusted EBITDA increased marginally year-on-year, including M&A and declined 15% organically in fixed currency. The organic decline was NOK 32 million, whereof NOK 17 million explained by the organic gross profit decline and NOK 15 million is related to higher OpEx year-over-year. OpEx grew 7% year-on-year in the fourth quarter. The organic OpEx increase in the quarter was higher than previous quarters due to year-end closing effects and timing items. Full year organic OpEx increase was modest at 4%, reflecting ordinary inflation and planned investments to support growth. Acquisitions closed and consolidated during 2025 contributed with NOK 33 million to adjusted EBITDA in the quarter, which more than offset the organic decline. Adjusted EBITDA margin decreased from 11.5% to 10.9%, driven by higher OpEx to sales influenced by lower top line and partly offset by the gross margin expansion. Closed and consolidated acquisitions supported expansion in reported margin by 0.6 percentage points with SMSPortal being the largest contributor, operating at a reported EBITDA margin of 22%. Then to the next slide on the P&L. I will, as always, comment on the key items below adjusted EBITDA. Nonrecurring items were reported at NOK 21 million in the quarter, primarily related to M&A transaction costs with NOK 12 million, where NOK 7 million related to SMSPortal and restructuring activities of NOK 9 million in the quarter. EBITDA came in at NOK 195 million. Depreciation and amortization totaled NOK 116 million or up NOK 24 million quarter-over-quarter, where NOK 12 million related to 1 month of SMSPortal ownership, while the remaining linked to year-end catch-up related to finalized internal R&D projects during 2025. The estimated future quarterly amortization of SMSPortal are NOK 36 million, pending the finalization of the PPA. Net financial items were negative NOK 46 million, consisting of net currency loss of NOK 25 million, net interest expense of NOK 27 million and other financial items representing a positive impact of NOK 6 million. The net currency loss mainly includes a mark-to-market valuation loss with no cash effect of NOK 23 million related to ZAR/EUR cross-currency swap established in relation to the SMSPortal acquisition. Net interest expense of NOK 27 million consisted of NOK 32 million in bond interest, including amortized transaction costs, partly offset by interest on cash deposits held. Other financial items was positive NOK 6 million related to a positive earn-out adjustment related to the Net Real Solution acquisition in Spain. This results in a profit before tax of NOK 33 million and net profit for the period of NOK 31 million post the tax expense of NOK 2 million recognized in the quarter. Then to the balance sheet. Overall, the financial position remains solid with strong liquidity and ample capacity to support continued inorganic growth with a cash position of NOK 1 billion and leverage of 1.5x adjusted EBITDA after closing SMSPortal. Total assets increased slightly year-on-year, primarily driven by higher noncurrent assets following acquisitions completed during the year as well as foreign currency effects. Total receivables were positively impacted by continued collection efforts, improving DSO year-over-year and settlement of an earn-out and partial sellers' credit repayment related to the U.S. divestment, offset by acquired entities and currency effects. Cash position, as I mentioned, is NOK 1 billion end of the year, down NOK 1.4 billion year-on-year. The decrease primarily reflects debt repayments and M&A activity. Net debt repayments totaled NOK 835 million during the year, while the NOK 1 billion cash consideration for the SMS Portal acquisition was funded from existing cash reserves. These outflows were partly offset by solid cash generation throughout the year. Looking at the financing, long-term borrowings consist of 2 outstanding bonds totaling EUR 225 million with an average cost of 3-month Euribor plus 2.53%. In addition, we have an undrawn working capital facility of EUR 65 million, which provides further headroom to fund operations and future M&A. Equity stands at NOK 5.7 billion, corresponding to a solid equity ratio of 52%. Net interest-bearing debt supported at NOK 1.6 billion, resulting in a leverage of 1.5x adjusted EBITDA and up 0.5x quarter-on-quarter, driven by the closing of the SMSPortal acquisition. Leverage remains below our target range of max 2 to 2.5x adjusted EBITDA. Then to my final slide on key cash flow items. We delivered adjusted cash flow from operations of NOK 257 million in Q4, reflecting strong underlying profitability and good cash discipline. This corresponds to a cash conversion of around 119% of EBITDA. Working capital normalized in Q4, leading to a net positive cash effect from working capital on a last 12-month basis of NOK 22 million. Taxes paid were higher in Q4 due to timing differences. On a last 12-month basis, adjusted operating cash flow amounted to NOK 782 million, corresponding to an adjusted EBITDA conversion of approximately 95%. CapEx have been elevated through 2025, primarily driven by fast track investments in our CPaaS platform and in Q4 initiatives supporting additional consolidation and strengthening commercial development. We expect these investment levels to normalize into 2026 and expect CapEx level to come down by approximately 10% in 2026. Interest payments reflect the new LINK02 and LINK03 bonds, and we continue to maintain additional liquidity through the undrawn revolving credit facility, as I mentioned. That concludes the presentation, and it's now time for Q&A. Back to you, Kristian.
Unknown Executive: Thank you, Thomas and Morten. We will now start the Q&A session. [Operator Instructions] If Q4 had included a full quarter of SMSPortal instead of 1 month, how materially different would reported gross profit and EBITDA have been?
Morten Edvardsen: We are presenting that on Slide 5, where the full pro forma results for the group is presented. So on a full pro forma basis, including SMSPortal for the full quarter, gross profit will be NOK 531 million versus the reported NOK 461 million. And on adjusted EBITDA will be NOK 293 million versus NOK 216 million reported.
Unknown Executive: Should we expect SMSPortal to be margin accretive to the group already in Q1? And how quickly can synergies be realized?
Morten Edvardsen: I can take the first one. We already see margin accretion effect also in the Q4 numbers. So our expectation is that when we close the acquisition that it should lift the margin -- adjusted EBITDA margin by 1.5 percentage points. And I would say still they're operating at a margin of 22%. So it should be margin accretive definitely also in the first quarter.
Thomas Berge: When it comes to the synergies, we see that we are actually able to implement on some customer synergies that we have customers in our footprint with traffic to South Africa that we are in a position to win now. And also, we see that we can export some of the SaaS solutions that we are having and also OTT channels like WhatsApp to some of the customers in South Africa. The first synergies are going to materialize quicker than the second category, WhatsApp on the customer stock in SMSPortal. The time line to sort of sign a new contract and to implement the solution is, of course, a little bit longer, but we expect that to be positive gradually during 2026.
Unknown Executive: Good. You mentioned move toward more SaaS-like CPaaS KPIs, which metrics should investors focus on going forward to capture underlying value creation?
Thomas Berge: The metric we are following up is gross profit growth, adjusted EBITDA growth, and we're also monitoring quite closely the contract backlog. So those are the 3 main KPIs for us.
Unknown Executive: With a pipeline of over EUR 50 million in cash EBITDA and several targets in due diligence, how confident are you that we will see at least one acquisition in 2026?
Thomas Berge: I'm very confident on that.
Unknown Executive: Given current market volatility, do you see opportunities to acquire assets at even more attractive multiples than historically?
Thomas Berge: We see that the valuations are quite stable. So historically, it's been somewhere between 6 to 7x cash EBITDA, and that would sort of be the normal valuations for most targets.
Unknown Executive: You mentioned strong RCS contract momentum. With Apple opening up RCS in the Nordics, how should we think about the revenue potential over the next 12 to 24 months?
Thomas Berge: I am more occupied with sort of gross profit potential here. So Apple is planning to open up for RCS in the Nordics. Exactly when we don't have full transparency on it, Q1, Q2. And we do see that customers, enterprise customers in the Nordics, they are increasingly interested in the solution, and we're doing more and more PoCs in the Nordics on RCS. So I would believe that the gross profit growth potential on that channel in 2026, 2027, especially 2027 is going to be quite good.
Unknown Executive: You mentioned that 4 large customers weighed on growth in Q4, but except for 9 clients, organic growth were NOK 17 million. Did 4 or 9 clients drive the miss?
Thomas Berge: We basically have 2 buckets of decliners. The 4 -- that's share of wallet clients, which means that they are enterprise clients, but they have somewhat of an aggregator like behavior. Those 4 clients drove most of the decline in the fourth quarter. The 5 other customers are customers we informed of in the second quarter that cut use cases. They do not have other vendors, but they decided to eliminate certain use cases that resulted in volumes declining at the beginning of the year. We stated in both Q2 and Q3 that, that effect on the total gross profit growth was about 2 to 3 percentage points. It's in that area also in the fourth quarter, and that's going to be the last quarter we will have those enterprise clients negatively impacting the growth momentum as the impact is sort of worn out after 12 months.
Unknown Executive: Good. Are there any differences in conversion rate from order intake to revenues between A2P and CPaaS? Are the lead time longer in CPaaS?
Thomas Berge: The lead times on CPaaS was longer in 2024, 2023. We are seeing that it's improving as the product is getting more and more mature. So the lead times are catching up when it comes to -- compared to legacy solutions. So a little bit longer still, but the gap is being closed.
Unknown Executive: What is your capacity for buying back your own shares? And how do you think about that versus further M&A?
Thomas Berge: The capacity is basically in the general assembly from May. This is something we are -- or the Board is always considering on a constant basis what the best option for value creation is. We do see a lot of potential for value creation on M&A also. So we are going to do what is best for creating value for the shareholders.
Unknown Executive: Should we expect SMSPortal to continue to grow at the same rate as in Q4 in 2026?
Thomas Berge: SMSPortal without inflow of bigger customers normally sort of grow in the mid-single digits. Historically, the growth has been more chunky, meaning that it can grow significantly over high single digit for a certain period of time when they have won some bigger customers and more sort of in the single digit when that's not the case. So over time, we do expect SMSPortal to grow in the high single digits, but it's varying between the interval I mentioned.
Unknown Executive: Good. What concrete actions are you taking to improve organic growth and revenue retention in the enterprise customer segment?
Thomas Berge: The commercial strategy is the same. The market is adopting to a larger degree, the new CPaaS solutions. So what we are doing is tactical changes to what kind of use cases and which verticals we are trying to address. And also, we are doing tactical changes constantly on legacy products on what use cases and what size of customers we want to focus on. So this is sort of something that we are doing on a recurring basis.
Unknown Executive: Do you have any information as to why some of your larger Enterprise customers have lowered their spend?
Thomas Berge: Yes, we do. On the Enterprise side, we know exactly why. Some of the decline is due to them just stopping the use case or that they are using a cheaper channel like e-mail because they feel that the return on investment is high enough to justify the cost.
Unknown Executive: And then the gross profit margin is lower in other regions than just Western Europe compared to last year. Is this a structural shift or random fluctuations?
Morten Edvardsen: I think we should remember that we have NOK 7 million in year-end accounting -- net negative accounting effects, which are impacting margin mainly in, I would say, Nordics and Western. Also, I would say the underlying margin development is more linked to traffic. We don't see a sort of structurally different margin picture overall sort of per client level. So it's more linked to client and destination mix to some degree year-on-year. I also mentioned just for Western, there's an impact, of course, of the acquired entities in the U.K., which is coming with a lower gross margin.
Unknown Executive: What makes you confident volumes will return to growth in Q1 and for 2026 as a whole?
Morten Edvardsen: As we outlined in the Slide #6, we -- the 9 customers, we see the contribution there on the lower graph. And we see the sort of contribution from these clients easing off to entering the comparison will be sort of lower as we go through into 2026. Q1 still had a quite significant contribution to gross profit. Also, we believe the initiatives that we are taking and closed contracts will positively contribute to a gradual improvement in the growth momentum.
Thomas Berge: Yes, I can also just mention that we don't see any structural changes in the market. We see strong demand for the more advanced solutions and continued demand for sort of SMS and legacy solutions. After 3.5 years of outgrowing the market, Q4 was soft or weak. This is something we experienced before also like 2022. And we've seen historically that we're able to bounce back in the coming quarters. So we don't see any reason why this shouldn't happen in 2026 compared to our sort of experience with markets and what we've seen historically.
Unknown Executive: Good. And then a little bit on the same question. Could you please give more details on why the weak volumes in Q4 was considered more temporary than structural?
Thomas Berge: It's mainly connected to the 4 share of wallet customers. Those customers, they are using a multi-vendor strategy because they are terminating on a global level, their messages. The volumes there are more volatile. So for Q4, we had a large decrease on those 4 customers, which was unexpected for us. We have had these customers for a few years. There are no structural reasons to this. The volume can flow back partly or wholly or it can sort of increase more again. So that's just the nature of those use cases. There's nothing indicating in the enterprise market that there are any structural changes. It's growing quite nicely even if we had a somewhat lower campaign activity in the retail segment in the fourth quarter, which is also not a sign from sort of the way we see it as a structural change. So that has happened historically as well. Campaign activity in the fourth quarter in a year can be somewhat lower than what we expected. And then sort of we revert back to normal again Q1, Q2 and then Q4 next year is at par with expectations. So that's sort of the main summary from our side.
Unknown Executive: And could you also provide some information on seasonality effects with regards to SMSPortal?
Morten Edvardsen: We don't see a material seasonality effect in SMSPortal. It's fairly flat across the quarters, maybe slightly higher in Q4, as you can see from our pro forma numbers. There is no -- the seasonality is a little lower than in LINK.
Unknown Executive: Thanks. Why does the growth in messages differ so much from revenue gross profit growth?
Morten Edvardsen: It basically comes from the price per message in SMSPortal compared to the rest of the LINK footprint. That's the main driver for it, I would say.
Unknown Executive: And then a question on the segment changes. What's the reason that's being done now, the segment changes to Global Messaging?
Thomas Berge: What we have done some changes to the internal organization that was planned actually since the summer. And part of that change was to strengthen the team that follow up aggregators and enterprise customers with aggregator-like behavior to make sure that we have a stronger operational and a better customer follow-up. So that's the reason for it.
Unknown Executive: For the Global Messaging reduced share of wallet customers, will you reduce your prices to increase your share of wallet so we should expect lower gross profit margin in Global Messaging going forward?
Thomas Berge: No, that's not the plan. We are following -- we are, of course, working with those existing customers to regain some of the volumes or the whole volumes, but we also got a couple of new customers coming in that will hopefully sort of make a positive impact. We are not planning to lower margins in that segment significantly in order to grow revenue. We have a strategy of growing the gross profit.
Unknown Executive: Could you comment on the strength in RCS versus competitors, both on aggregate and geographically?
Thomas Berge: Yes. On RCS, geographically, we have a very strong solution, not necessarily on the gateway side. We have a very good throughput and latency there, just as good as the bigger competitors. But we have a strong offering of SaaS solutions to help the client do their communication content and library functions and template managers and stuff like that, which according also to Juniper is being recognized as very good compared to the industry. The smaller competitors that we are seeing mostly on a day-to-day basis on the enterprise segment in the different countries where we operate, most of them, they don't have any RCS connectivity at all. So there, of course, we have a large competitive advantage.
Unknown Executive: In which key regions do not Apple support RCS currently? Could you just update the market on that?
Thomas Berge: Apple supports -- I can do it differently and state where Apple supports RCS, U.K., France, Germany and Spain. We are expecting Portugal and the Nordics to follow the beginning of this year, Q1 or Q2. We don't control that, of course, it's Apple and the mobile operators who control it.
Unknown Executive: Do you see any risk for more customers reducing their SMS volume in 2026?
Thomas Berge: There's always going to be some customers reducing volumes on certain use cases, and there will always be other customers that are growing quite nicely. This changes over time. We don't see that there is a trend that enterprise customers are reducing volumes. So we don't have any reasons to expect that this will happen sort of at the same pace as we experienced in 2025. No. Some customers, they increase, other customers, they decline. Historically, sort of we've been able to deliver a healthy growth momentum. So that is sort of the normal expectations.
Unknown Executive: Yes. Can you give any further details on enterprise weakness related to the same customers that have reduced spending in prior quarters? Do they use other competitors? Can you share more details behind the weakness?
Thomas Berge: I guess the question is regarding the 9 questions, which was divided in 2 buckets, 5 enterprise customers declining on certain use cases. There are no commonalities between them. It's different from each of the 5 customers. And the other 4 customers that has a share of wallet, enterprise customers with more aggregator-like behavior, that is mostly due to price considerations. They have found other competitors offering attractive prices on the destinations that we have. So now we're working on to match and retrieve some of the volumes either on those destinations or on new destinations.
Unknown Executive: How has pricing discussions -- regarding M&A, how has pricing discussions developed since the last report? And can you give any further details on size?
Thomas Berge: Pricing discussions on M&A is fairly similar to what we experienced in the previous quarterly reporting. We have the interval of 6 to 7x cash EBITDA, which is our normal purchase price discussions or valuation discussions. Regarding the size of the pipeline, we have a few bigger opportunities there. And we also got a couple of sizable opportunities in due diligence. Any more detailed commentary around that where they are and so on, I don't think I should go into those details due to competitive reasons.
Unknown Executive: In general, do you see any changes in the competitive landscape with regarding to pricing and yes.
Thomas Berge: No, pricing is pretty stable in the enterprise market. We don't see any increased price competition nor any lower price competition. It's quite stable. In Global Messaging, of course, it's more fluid and volatile, which we experienced in this quarter. There, the price competition is stronger as most of the customers there have a share of wallet. There's 2 customer categories in the Global Messaging segment. It's aggregators, which is by nature, very price sensitive. Then you have the enterprise customers who have a share of wallet strategy on the vendor side because they're terminating on a global level and no player in the A2P market is able to do that competitively. So they have to use different vendors. And they are price sensitive, but they also have quality considerations. So it's less price sensitive than the aggregating market. But still, volumes due to a multi-vendor strategy can be somewhat more volatile. What happened in the fourth quarter, it's more volatility than we've seen before. So that is sort of the way we view it.
Unknown Executive: Could you give some flavor on the synergy potential of the SMSPortal acquisition?
Thomas Berge: I think we've answered that already. It's mostly on the customer side. SMSPortal on the OpEx side is very, very efficient.
Unknown Executive: SMSPortal gross profit growth of 5% year-on-year feels a bit low given the maturity of the total addressable market, at least, I believe. Please comment on price versus volume impact for SMSPortal in the quarter.
Morten Edvardsen: I think Thomas commented on the growth momentum in SMSPortal that could vary within sort of a range depending on the inflow of new clients. We see a good number of closed volume that's going to be implemented over the first half. So that's positive. There's also a significant pipe of also larger targets, which is being worked on. So that gives us confidence about the future growth momentum. I think the volume development is fairly in line with the price or revenue growth that we're reporting for the quarter.
Unknown Executive: What commercial initiatives are you considering to restore volumes for isolated decliners?
Thomas Berge: I think that has already been answered, and I won't repeat it because we have more questions and we're running out of time.
Unknown Executive: The new contract on SMSPortal that should add NOK 600 million in new messaging volumes, should we assume same GP per message as the rest of SMSPortal's business or higher, lower?
Thomas Berge: Yes, you could assume that just for ease.
Unknown Executive: Given the impact we have seen from large customers in '25, how should -- how much of gross profit currently comes from top 1 and 10 customers?
Morten Edvardsen: Top 1 represent about 4%. Top 10 is about 14%.
Unknown Executive: Any other large customers where you see a risk of large volume reductions in line with what you have seen in 2025?
Thomas Berge: No, nothing that I am aware of now. No.
Unknown Executive: And then what can you do on the cost side to offset the reduction in gross profit growth?
Thomas Berge: If we can, of course, reduce costs, that's an alternative. We have chosen not to do so yet because we believe that we're going to regain the growth momentum during 2026, and we see a lot of growth opportunities in the future, especially for the more advanced CPaaS solutions. So we believe as of now that it's better to sort of regain the momentum and then make sure that we maximize resources internally to extract growth momentum going forward.
Unknown Executive: What is LINK doing to reduce time from contract signing to go live on new contracts to improve financial contribution from these contracts faster?
Thomas Berge: We're, of course, following up the customers, especially the bigger contracts. That is done. So that has been done historically too. Most of the time when we are having delays, it's because development resources within the clients, they are occupied with other elements in the road map. That is difficult to change, of course, and we just need to be patient there and make sure we are in contact with them on a regular basis. So we have a priority in the road map.
Unknown Executive: Could you elaborate on gross margin development, excluding one-offs and FX? Are you seeing structural pricing pressure from operators or competitors?
Morten Edvardsen: Yes, the one-off effects that we had in the quarter is impacting the margin by -- the organic margin development by 0.4 percentage points. As we have commented on before, we didn't see any sort of structural difference in pricing or -- and margin pressure as such. Pricing from operators is sort of following normal trends, seen a price increase in the Nordics over the last few years, which we have alluded to before. But no sort of -- no significant changes, I would say, compared to previous quarters.
Unknown Executive: And then I think this will be the last question. Do you see any signs that AI could enable alternative communication channels that might structurally threaten LINK's organic growth? If not, what do you consider to be the company's key moat in preventing this?
Thomas Berge: AI is something we see as an asset when it comes to helping us and the customers to design and create communications. When it comes to communication channels, there are physical connectivity that needs to be in place, which AI can do. AI can help on API integrations, but you can't automate it. So I don't see a structural threat from AI going in and sort of doing these sort of connections to the different communication channels. We see it more as a value for future growth.
Unknown Executive: Thank you. That concludes the Q&A session. Please reach out if you have any further questions, and we will be happy to answer them. Thank you to Thomas and Morten, and thank you for all your questions. See you next quarter.